Operator: Good morning, and welcome to the Ispire Technology's Earnings Conference Call for the First Fiscal Quarter 2026. Please note, this event is being recorded. I will now hand the call over to Phil Carlson from KCSA Strategic Communications. Please go ahead.
Philip Carlson: Hello, everyone, and welcome to Ispire Technology's Earnings Conference Call for the first fiscal quarter 2026 ended September 30, 2025. At this time, I would like to inform you that this conference call is being recorded. [Operator Instructions] With us today are Mr. Michael Wang, the company's Co-Chief Executive Officer; and Mr. Jay Yu, the company's Chief Financial Officer. Mr. Wang will start by reviewing the company's key financial results and latest corporate highlights. Mr. Yu will then discuss the company's financial results for the first fiscal quarter 2026 in depth. Before we begin, I would like to remind you that this conference call contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts in its announcement are forward-looking statements. Forward-looking statements are based on estimates and assumptions made by the company in terms of its experience and its perception of historical trends, current conditions and expected future developments, as well as other factors that the company believes are relevant. These forward-looking statements involve known and unknown risks and uncertainties, and many factors could cause the company's actual results or performance to differ materially from those expressed or implied by the forward-looking statements. Further information regarding this and other risk factors are included in the company's filings with the SEC. The company undertakes no obligation to update forward-looking statements to reflect subsequent or current events or circumstances or to changes in its expectation, except as may be required by law. I will now hand the call over to Mr. Wang. Mr. Wang, please go ahead.
Michael Wang: Thank you, Phil, and welcome to everyone who has joined us today. I'm pleased to share our fiscal first quarter 2026 financial results and the latest corporate highlights. Over the first fiscal quarter of 2026, we made strong progress in strengthening our financial foundation and positioning the business for sustainable and profitable growth. Over recent quarters, we have shifted our strategic focus to higher-quality customers and the higher-value nicotine sector. This has, in turn, allowed us to strengthen our cash flow, greatly reduce our operating expenses and lower our accounts receivable balance. Our revenue decline year-over-year for Q1 of fiscal 2026 was a result of our deliberate strategic move away from the cannabis industry. However, the results achieved in Q1 of 2026 in other key metrics demonstrate that these steps are having the intended impact. We reduced total operating expenses substantially by approximately 39% year-over-year in Q1 from $12.9 million in Q1 last year to $7.8 million in Q1 this year. Our net accounts receivable reduced from $62.4 million in Q1 of fiscal 2025 to $44.5 million in Q1 of fiscal 2026. In addition, net loss improved from $5.6 million in fiscal Q1 2025 to $3.3 million for Q1 fiscal 2026. This improvement was a direct result of our focus on aggressive cost controls, disciplined expense management and higher-quality customers, while bringing our non-GAAP EBITDA to $600,000 for the quarter ended September 30, 2025. We expect this trend to continue through fiscal 2026. We are also pleased to report solid progress on the operational side with our IKE Tech joint venture gaining significant traction. This game-changing technology with blockchain-based age verification requires frequent authentication at the point of use compared to the single verification used at point of purchase in older systems. We are working with regulators across Europe, Southeast Asia and the Middle East to adopt age-gating technology in mandatory standards. Through this initiative, Ispire is again demonstrating its commitment to leading the industry with safety and compliance. Further, we are in deep discussions with several large and medium-sized nicotine companies related to our proprietary and patented innovative G-Mesh technology solutions for next-generation vaping products. We are aiming to secure partnerships and/or licensing agreements, which we aim to provide updates on in the coming months when possible. The build-out of our manufacturing facility in Malaysia is also progressing well, and we look forward to ramping up production in fiscal 2026. When the Malaysian facility upgrade is completed and at full capacity, we will go from the 6 lines currently in operation to 80 lines. As we have previously stated, this is a significant increase in capacity and will further position Ispire as a leading global manufacturer of precision dosing vaping products. We will continue to update the investment community on our progress throughout 2026 as additional production lines become operational. To conclude, the measures we have taken to improve our financial footing have resulted in significant improvements to our cash flow, operating expenses and accounts receivable. We remain focused on creating a sustainable and profitable business and are positioned well for future growth with our groundbreaking technological innovations. I will now turn the call over to Jay Yu, our Chief Financial Officer, to discuss our first quarter financial results in more detail. Jay?
Jie Yu: Thank you, Michael, and thank you all for joining us on the call today as we recap Ispire's key financial results for the first fiscal quarter of 2026. As a reminder, I will refer to the first fiscal quarter 2026 as the quarter ended on September 30, 2025. All comparisons are to the prior first fiscal quarter ended September 30, 2024, unless otherwise stated. Total revenue for the first quarter of fiscal 2026 was $30.4 million, a reduction of $9 million from $39.3 million compared to the first quarter of fiscal 2025. This was due to a decline in product sales with the shifting of our business away from cannabis customers, which we are confident will achieve long-term stable growth and profitability. During the first fiscal quarter of 2026, gross profit reduced to $5.1 million from $7.7 million the quarter prior. Gross margins were 17% for the first fiscal quarter 2026, a decline from 19.5% in first fiscal quarter 2025. This was primarily due to changes in product mix with lower margin products being sold during the period. For the three months period to September 30, 2025, operating expenses were $7.8 million, down substantially from $12.9 million for the same period last year. This decrease was largely due to the expense management measures we have discussed above. Net loss for first quarter of fiscal 2026 were $3.3 million relative to $5.6 million in first quarter of fiscal 2025. Turning now to the balance sheet. Ispire held cash of $22.7 million at September 30, 2025, compared to $24.4 million at June 30, 2025. Net cash flow used by operating activities were $1.2 million for the three months to September 30, 2025, compared to $3.6 million provided by operating activities in the prior corresponding period. Net cash used in investing activities for the first fiscal quarter of 2026 were $540,000 versus $925,000 used by investing activities in the same period last year. Net cash used by financing activities for the three months to September 30, 2025, was $319,000 compared to nothing used over the same period last year. That concludes the discussion of our financial results for the first quarter of fiscal 2026. I will now turn the call back to Michael for closing comments. Michael?
Michael Wang: Thanks, Jay. To close, operationally, we are pleased with the progress we have made to enhance our financial stability. Our strategic focus on high-quality nicotine customers and stringent cost and expense management has achieved solid improvement in our cash flow, operating expenses and accounts receivable, allowing us to improve our non-GAAP EBITDA to $600,000 for the first fiscal quarter. We expect this trend of reduced costs, improved P&L and strengthened cash flow to continue through fiscal 2026. At the core of our business, we are a technology company. Our groundbreaking precision vaping technologies such as IKE Tech and G-Mesh are garnering attention from the big tobacco players. As we continue to accelerate our overseas manufacturing footprint, we envision our ODM partnerships to contribute substantially to revenue growth in future quarters. We continue to lead the space in our focus on safety and compliance. We are building a profitable and sustainable platform for growth, and I'm proud of our achievements this quarter that bring us closer to that goal. Thank you again for joining us today. Please e-mail ir@ispiretechnology.com with any questions. This completes our prepared remarks, and I will now ask the operator to open for questions.
Operator: [Operator Instructions] And the first question comes from Nick Anderson with ROTH Capital Partners.
Nicholas Anderson: Congrats on the quarter. First one for me, you mentioned the partnership and licensing opportunity. Some companies have partnered with JUUL or entered into licensing agreements to sell product here in the U.S. given JUUL's patent library. As some of these agreements expire, what's your sales pitch to potentially onboard these clients given your offering does not infringe on any of JUUL's patents? Just your sense of that opportunity would be helpful.
Michael Wang: Nick, thank you for the question. Yes, indeed, everybody is aware about the situation related to the JUUL patents. And our technology specific to not only the G-Mesh itself, but also to overall product design, we have our own patents, and we certainly are far away from JUUL's patents. So we are confident with that approach as we talk to the nicotine -- potential nicotine partners. And certainly, that is our angle because some of them are running on certain licensing agreement or royalty agreement with JUUL and some agreements are coming to the end of their life cycle. We are aiming to capture some such customers. I hope I answered your question, Nick.
Nicholas Anderson: Yes. No, I appreciate that color. Second for me on the Malaysian license. You received the interim earlier this year. Just wondering if you could update us on the timing of when do you expect to receive the final license and just how that changes the discussions you're potentially having with these larger strategic partners.
Michael Wang: Yes, great question there. Yes, we received our interim license and that interim license is valid until October 2026. So -- but interim license, while we can operate under the interim license, we are in the process of getting this, let's call it, permanent license. And we are making progress on that front. We just need to meet certain safety and compliance requirements from the Ministry of Trade and Ministry of Health. We are certainly making progress on that front, knocking down one requirement after another. So I am very confident either before the end of this year or right around the new year, we should receive the permanent license.
Nicholas Anderson: Great. I appreciate that. If I could squeeze just one more in. You mentioned working with other countries to get this age-gating technology off the ground. What are the chances that these regions move before the U.S. does? And just what are you hearing from these other countries about potentially adopting the technology?
Michael Wang: We -- our feeling and based on the conversations we have had with those other countries is those countries could well, I would say, ahead of the U.S. in adopting such technology. And in those countries, there is a strong tendency of making -- educating a mandate for all e-cigarettes sold in such countries. So FDA certainly will take its steps in assessing the component PMTA that we submitted back in May. And even though that will move, in our opinion, faster than standard PMTA, those other countries we have been in conversations with, I feel strongly they could move much faster. Their regulatory process and legislative processes are very different from the U.S. However, on the FDA side, I'm very optimistic about what's going to happen. Just last week, there was a conference held in Washington, D.C. attended by many key leaders from FDA, specifically the Center of Tobacco Products. And we all know that agency plays the single most important role in PMTA approval. And at the conference, everybody was talking about age-gating being the solution to solving the so-called flavor issue. From the speech, it sounded like FDA is embracing the idea of flavored e-cigarettes and the only concern they have is youth access to such products. So age-gating at point of use is widely discussed right now. So I hope that builds some tailwind for our technology, Nick.
Nicholas Anderson: Congrats on the quarter.
Operator: And the next question comes from Helen Zuanic with Zuanic Associates.
Helen Zuanic: This is Helen on for Pablo. I have just two questions, more for the U.S. market. First question, given the potential for new recreational cannabis market in the U.S., in Virginia and in Pennsylvania and for Texas to be a large medical market, would you reconsider your U.S. strategy and become to focus more on the U.S. cannabis again?
Michael Wang: Helen, thank you for the question. As far as the U.S. cannabis business, I think we all know, as an industry, we have waited and hoped for some federal level changes. And right now, we really don't see any immediate change to de-scheduling, rescheduling, federal legalization, stable banking, all those things. And the reason I mentioned all those things is because the industry is facing or has been facing cash flow challenges, whether we operate in California or New York, Michigan, Colorado, or I think ultimately, Texas, for example. So we are certainly very, very invested in the cannabis industry here. But until we see signs of financial support to the industry, we really are concerned about overall ability to be paid on a timely basis. So to put it bluntly, that's our #1 concern. So we will keep our eyes on the development on the cannabis side. On first sign of major change at the federal level, we will certainly double down and reinvest in this space. Until then, we will continue to take a cautious approach. We only will deal with, as we have been saying, high-quality customers, meaning customers who could actually pay on time. So obviously, cash flow is very important to us. So that's the #1 criteria for us. So we'll keep our eyes open. As more states legalize cannabis, and more importantly, as federal level changes takes place, we will double down, Helen.
Helen Zuanic: Right. I totally understand. For our last question, I know this is hypothetical and -- but if the Supreme Court were to reverse President Trump tariff policy, how would that make you change your supply chain strategy in relation to the U.S. market?
Michael Wang: Great question. If that indeed is overturned, we will certainly diversify our supply chain. However, one key thing we are mindful of is the geopolitical conflict between the U.S. and China will not get any better anytime soon. So that's another key consideration for ours. In addition to the consideration for tariffs, indeed, we already have contract factories in China. We now have our own factories in Malaysia. If the tariff situation improves, we certainly will try to leverage both locations. Whichever advantage we can exploit, we will, Helen.
Helen Zuanic: Yes. Can I squeeze in one -- just one last question? The -- I have not seen the full filing, but your press release discussed year-on-year changes, but also meaningful growth in sales and gross margin compared to the 1Q with the 4Q. So the Q-to-Q, there is significant meaningful growth, I mean. Can you discuss what drove that? Is it by product or by region?
Michael Wang: Yes, by product is really the change in product mix, minimizing or reducing our reliance on the cannabis business. So that's a key change. However, on the other hand, on the mixing side, we did have -- of course, in the long past, our revenue came from our branded products. And over the course of the last few quarters, we onboarded ODM customers. I think that part of the revenue will only grow in the future quarters. So nicotine ODM customer, our partnerships will be a key focus for us going forward. But no matter what, from our point of view, we will continue to focus on quality revenue, and we will continue to focus on improving gross margin. And more importantly, we will continue to focus on controlling our cost so that our profitability picture will change. As you heard from Jay, we reduced our net loss significantly. And on a non-GAAP basis, we made over $600,000 in profit for the quarter. That's unprecedented, and we expect that trend to continue with improved cash flow, improved P&L, and of course, improved gross margin over time, Helen.
Helen Zuanic: Congratulations for the quarter.
Operator: And that concludes the question-and-answer session. I would like to turn the call over to Michael Wang for any closing comments.
Michael Wang: Once again, I want to thank everybody for joining us today. As you heard, we have made strides in several key areas. I just look forward to sharing more information with everybody as we have more development -- new development and a new update, especially looking forward to the next quarterly call. Thank you all.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.